Operator: Good day ladies and gentlemen, and welcome to the INTL FCStone Fiscal Year 2015 First Quarter Earnings call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would now like to turn the conference over to our host of today’s call Mr. Bill Dunaway. You may begin.
William Dunaway: Good morning. My name is Bill Dunaway, CFO of INTL FCStone. Welcome to our earnings conference call for the fiscal first quarter ending December 31, 2014. After the market closed yesterday, we issued a press release reporting our results for the fiscal first quarter. This release is available on our website at www.intlfcstone.com, as well as a slide presentation, which we will refer to on this call in our discussions of our quarterly results. You will need to sign on to the live webcast in order to view the presentation. Both the presentation and an archive of the webcast will also be available on our website after the call’s conclusion. Before getting underway, we’re required to advise you and all participants should note that the following discussion should be taken in conjunction with the most recent financial statements and notes thereto as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of Section 27(a) of the Securities Act of 1933 and Section 21(e) of the Securities Exchange Act of 1934. These forward-looking statements involve known and unknown risks and uncertainties which are detailed in our filings with the SEC. Although the company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can no assurances that the company’s actual results will not differ materially from any results expressed or implied by the company’s forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I’ll now turn the call over to Sean O’Connor, the company’s Chief Executive Officer.
Sean O’Connor: Thanks Bill, and good morning everyone, and welcome to our fiscal 2015 first quarter earnings call. As we have had mentioned on previous calls, we have had for some time now seen a steady and modest improvements to the overall market conditions and continued industry consolidation. All of this has resulted in a steadily improving revenue environment for us. Around this trend, we do of course see some short-term market impacts, which can positively or negatively push us off this trend line. During this quarter, we have some good market conditions and increased volatility in certain of our commodity verticals, most obviously energy and we also have some negative impacts elsewhere such as in Argentina. Overall, this was our best quarter in two years. We think this stands in strong contrast to industry earnings reported this quarter where most banks showed FICC trading revenues down substantially. We recorded our second consecutive record in quarterly operating revenues up 22% from a year ago. We realized net earnings of just short of $10 million for the quarter, with an EPS of $0.49. Our ROE for the quarter was just short of 11%, a good improvement from previous levels, but still below our long-term target of 15%. Our net income was up 276% from a year ago and up 62% from the immediately prior quarter. I’ll run through some highlights for the quarter, Bill will do this in more detail later. The quarter was really all about the commercial hedging segment, which has had a difficult time over the last two years, but really came through very strongly for us this quarter. Segment operating revenue was up 50% and segment income was up over 100% versus a year ago and up 56% from the immediately preceding quarter. Our exchange based volumes and revenues were up close to 30%, representing a $7.5 million increase, with strong growth across all verticals, but LME meeting the stand out with revenue up 43% versus a year ago. It was a more material change in our OTC based revenue in grain and energy verticals, which were up 89% in aggregate or $14.1 million. This revenue increase was driven almost entirely by expansion in spreads due to better market conditions as a result of volatility increasing. Global payment showed another quarter of very strong volume growth with payments up 65% from a year ago, although revenue per trade declined by 32% as we started processing smaller tickets for our bank partners, especially those in the early adoption phase. Physical commodities continue to improve nicely and clearing and execution had a strong quarter largely off the back of the FX business, which benefited from increased FX volatility and client trading. We see the possibility for consolidation after the FX CM issue and are well placed to benefit from this. On the negative side, our securities segment had a significant reduction in segment income, down 76% or $5.5 million versus a year ago. The vast majority of this was attributed to our Argentinean trading operation, which had been one of our top performers during 2014. Strong intervention in the local bond market by the government affected us negatively. This impact cost us roughly 2% in ROE for the quarter, a similar result to last year by the Argentinean business would have resulted in an ROE of around 14%. I mentioned this to demonstrate that if all our business perform well we believe that our long-term target of 15% is achievable, even in the current low interest rate environment. We continue to focus on controlling fixed cost, which were up 2% versus the year ago. Variable compensation was up as a result of the increase and mix in operating revenues as well as the overall improved performance. So overall much better results, and glad to see our commercial hedging business is starting to show some good results despite some of our competitors having a difficult time and even talk of the commodity cycle being over. Clearly the increased volatility assisted us, but we believe that a nicely improving underlying trend is in place. This is validation of our approach to serve mid-size customers, especially those requiring a high touch risk management service. As we discussed last time, we completed the GX Clarke acquisition at the beginning of the second quarter, in other words on January 1, 2015. We are very pleased with this acquisition which closes a gap in our institutional offering in rates and government securities and brings us a deep and diversified client base of over 700 institutional clients that we hope in due course to leverage into other of our product. It is still early days, but this business seems to be performing slightly ahead of our original expectations. Going forward these financial results will be reported as part of our securities segment. As discussed last time, we’ve now moved forward to consolidate our U.S. broker dealer with our U.S. based FCM and have filed the necessary applications with the various regulators. This is likes to take six to nine months and once complete should result in a better utilization of capital and give us the ability overtime to rationalize systems and infrastructure costs. During the quarter we continue to enhance our interest earning from our segregated customer funds, through laddered investments in short-term securities, which have added nicely to the net earnings. I’ll now hand you over to Bill Dunaway for a discussion of the financial results in more detail. Bill?
William Dunaway: Thank you, Sean. I’d like to start my discussion with a review of the quarterly results, I’ll be referring to slides and the information we have made available as part of the webcast specifically starting with slide number three, which represents a bridge between the first quarter operating revenues from last year to the first quarter of 2015. As noted on the slide first quarter revenues were a record $137.5 million, which represents a 22% increase as compared to the $112.9 million in the first quarter of 2014. As Sean noted the biggest increase in operating revenues was in our core commercial hedging segment, which increased $22.8 million or 50% to a record $68.4 million in the first quarter. This was partially driven by 30% increase in exchange-traded revenues driven by improved customer activity in the domestic grain markets, as well as increase LME metals volume, driven by growth in Chinese customer volumes, new client on-boarding partially as a result of a competitor scaling back as well as increased market volatility. Also driving the increase in commercial heading revenues with an 89% increase in OTC commodity revenues, despite only have 2% increase in the number of OTC transactions. As the number of structured products traded the widening of spreads driven by market volatility drove increase in OTC revenues in both the agricultural and energy and renewable fuel space. The first quarter’s performance in the segment was also strong improvement over the immediately preceding quarter the fourth quarter of 2014, as revenues increased 15%. The second large increase was in our clearing and execution services segment, which increased by $3.7 million to $31.2 million driven by improved rate per contract earned in our exchange-traded business, improved performance in our customer foreign exchange prime brokerage business as a result of the increased [indiscernible] volatility and a $500,000 increase in interest income. Global payment segment revenues continue to grow as the number of payments grew by 65%. However, increased number of smaller payments led to a decline in the average revenue per trade resulting in only 12% growth in operating revenues. The notable change in the downside was a $4.2 million decline in the securities segment revenues. Equity market making revenues increase $2.3 million versus the prior year. However, this is more than offset by difficult market conditions in Argentina, which led to a $4.4 million decline in overall debt trading revenues and a modest decline in asset management. Moving on to slide number four, which represents a bridge from the first quarter pre-tax income in 2014 to the current period. The biggest contributor the $9.7 million increase in pre-tax income between the two periods was the commercial hedging segment, which increased to 106% or $12.8 million. This was also an $8.9 million or 56% increase over the immediately preceding quarter. Similar to the discussion of operating revenues the next largest increase in pre-tax income was a $2.3 million increase in the clearing and execution services segment. As a result of the increases in exchange traded and customer FX prime brokerage revenues as well as the modest decline in fixed expenses. The difficult market conditions in Argentina drove the $5.5 million of decline in securities segment pre-tax income, while an increase in variable compensation due to the strong growth in overall company performance partially drove the $1.8 million increase in unallocated overhead. This quarter we have included a new slide number five. Discussing the interest income in our futures commission merchant or FCM, which holds our customer segregated balances and is the source of the majority of our interest earnings assets. Our average customer segregated customer equity increased 21% to a record $2.1 billion for the first quarter. As discussed during our fourth quarter call, we have begun to take steps to take advantage of the steepening on the shorter end of the yield curve, with limited purchases of treasury securities with somewhat longer duration and we plan to make further purchases in the future along with re-implementing our revised interest rates swap strategy. Overall interest income increased $1.7 million or 121% to $3.1 million. This includes both our investment to these customer deposits as well as the interest income related to commodity financing, export financing and other activities. The majority of this increase in interest income or $1.1 million was attributable to 21% increase in customer balances as well as the implementation of this revised interest rate management strategy. Overall our portfolio of investments in the FCM averaged $1.6 billion for the first quarter, running $1.4 million in interest for an average yield of 35 basis points. Excluding cash and money market mutual funds, we held approximately $970 million of US treasury investments at the end of the second quarter or first quarter, which add a weighted average duration of approximately 19 months. Moving on slide six, our quarterly financial dashboard. I’ll just highlight a couple of items of note, variable expenses represented 58.5% of our total expenses for the quarter and non-variable expenses, which were made up of both fixed expenses and bad debt expenses increased $900,000 or 2%. Net income from continuing operations for the first quarter was $9.4 million versus $2.4 million in the prior year period. Over the long-term we look to achieve a minimum return on equity of 15% or greater on our stockholders equity and for the current period the company we’ve made strides in approaching that target achieving a 10.7% ROE. Finally in closing out the review of the quarterly results, the trailing 12 month results have led to an increase of 6% in the book value per share, closing out the quarter at $18.68 per share. With that I would like to turn it back to Sean to wrap-up.
Sean O’Connor: Thanks, Bill. I think this quarter validates our strategy of creating a business with diverse capabilities and revenue stream, which both better serves our growing client base and also protects the bottom-line through market cycles. We have seen our commercial hedging business weather along in difficult period where many of our large competitors have exited the market and some of our peer group continue to have a very tough time and there was even talk of the commodity super cycle being over. In commodities as with all our businesses we sold real need for real clients and have stayed the course. As our recent results show, we have very significant operational leverage in our business model and on a marginal basis most of our activities yield better than a 50% gross margin. During this current quarter a 27% increase in net operating revenue led to a 249% increase in pre-tax income over the same quarter last year. We believe that over the last six quarters or so we have a gradually improving trend in our results. Of course short-term market environment and sentiment can push us off the trend line either up or down. Our commodities and FX activities were probably beneficiary this quarter of a good market impact, while our securities business in Argentina has reverse. But it seems to us that a trend is emerging despite the short-term impact. Due largely to a slowing improving market conditions and a slowly consolidating industry. The addition of GX Clarke as well as better management of our interest rate exposure should add incremental earnings, which we believe may push that trend line higher. With that I would like to turn it back to the operator to open the question-and-answer session. Operator?
Operator: [Operator Instructions]. Our question comes from John Dunn of Sidoti & Co. Your line is open.
John Dunn: Good morning, guys.
Sean O’Connor: Hi, John are you?
William Dunaway: Good morning.
John Dunn: Good, good. Good morning. Could you talk about in the global payments line sort of the trade-off between higher volumes and lower the addition of institutional clients and the lower prepayment and how much - the trade-off first of all how much that might go on with the on-boarding process? Thanks.
Sean O’Connor: Okay. Well I think we have mentioned this a couple of times before that brining the banks for us, just to backup originally we were involved mainly in the NGO in the corporate sector and we are dealing with high value payments and the reason being is we had a very manual process and our cost of executing those transactions were pretty high. Over the last three years we have invested in technology, which has driven our processing cost down by orders of magnitude, I mean we are not fractions of what we were say three years ago. And we saw an opportunity to enter the bank market and typically the banks have many more payments orders of magnitude more volumes, but the payments can be much smaller in size. So the fact that we configured our processes internally allowed us to go after that very big opportunity and what we are starting to see now is the business mix changing in our business. Up until recently say a year ago about 70% of our revenues was driven from the sort of NGO and corporate sector and very little of which was coming from bank, but as we on-boarding the banks the volume is going up and the average ticket size is going down. We knew that would happen that’s exactly what we’ve decided to do the total aggregate revenue opportunity with the smaller payments is multiples of our previous revenue opportunities. So none of this is unexpected I think we do find that when we onboard new bank they tend to test us up by sending sort of the smaller payments to see how we do so sometimes we see a little bit of an adverse business mix as we go through that adoption process I am not sure if that’s happen it maybe what’s happened we may see it ease it out a little bit as these banks become more comfortable with us and start sending the sort of higher value payments through. But I don’t have any specific data point to share with you on where we think that will level out. What we do know is our volumes are going to up we think a lot and we think the average payment is going to go down about some amount. And I think we will see more as these banks onboard and we will get more tighter points, but none of what we are seeing is unusual to us it happened a little fast this quarter and that maybe because some of the new banks just tend to have high volume a small payment through to check us up. So I think that’s about as much as I can give you on that.
John Dunn: Got you. As you say you held the higher revenue level from last quarter, on the - I know you talked about last quarter’s higher bad debt provision the elevated level in 4Q, can you talk about I know it’s hard looking forward what sort of a run rate for that might be a natural run rate?
Sean O’Connor: Honestly we sort of think that a natural bad debt run rate for us on an annual basis, probably is about $3 million to $6 million pre-tax right, I mean clearly we don’t want that to happen and we try very hard not for that happen, but the reality is we’re dealing with 12,000 companies around the world and some of those companies have liquidity problems and as much as we protect ourselves we may end up with more problems from time to time. So that’s kind of the run rate we have discussed with our Board that’s kind of how we have calibrated our risk management process. In the context of what we think we should be making in a normal sort of quarter that also seems to be about the right kind of number that shouldn’t be a material amount relative to our earnings and revenues. So that’s kind of our thinking on it, clearly what we tend to find is those bad debts don’t happen on a steady sort of drip basis you we tend to see a lot of it happen in one quarter and then nothing and that’s kind of our experience.
John Dunn: Got you. And then last one you’ve made quite a lot of progressive over the last couple quarters in ROE to 11% this quarter what get you to that 15% plus you think over the next year and a half let’s say?
Sean O’Connor: Well I think as I have sort of said in my concluding remarks we definitely feel there is a trend developing for us, which is just us internally working better and cross selling our products we’re also seeing sort of more customers coming on board and of course sort of market condition seems to be normalizing. So it feels to us again as I said I don’t want to get into the could have, would have, should have kind of debate, but if we hadn’t have had this kind of hiccup in Argentina and maybe if we hadn’t have had sort of bad debt all coming last quarter, we would be at a run rate of about 13% ROE over the last six months. So we’re not that far away from 15% in a very bad interest rate environment and then of course we have GX Clarke coming on board as well as sort of investing our funds a little bit more intelligently both of those are incremental to the current trend line. So we’re starting to feel that we’re getting to a position where we might see us getting pretty close to that number over the next couple of quarters not necessarily having to do anything different than what we’re doing now.
John Dunn: Got you, thank you very much.
Operator: Our next question comes from Jeremy Hellman of Singular Research. Your line is open.
Jeremy Hellman: Hi, good morning everybody.
Sean O’Connor: Hi Jeremy.
Jeremy Hellman: A question on GX Clarke, wondering what the overlap there is with their existing accounts relative to your pre-existing account base is there a significant overlap or and whether is or isn’t I just wanted to get a better sense on what your cross sell opportunity is there?
Sean O’Connor: Okay, I would say as a pretty lump statement there is zero overlap at the moment with a customer base, which is good. So and in our current securities business we’ve really struggled to make significant in-road into the institutional market. We’ve never historically had relationships there we really deal with financial intermediaries, broker dealers and banks and so on. We’ve not wanted to invest in heavy research components to get our offering in there. We know we can add value to the institutional market it’s just been a struggle to get there. So having GX Clarke who has sort of deep and long relationships with institutional investments we think can only help the rest of our securities in future offerings making inroads there. We always a little bit we don’t place a huge synergy factor on deals I mean when we look at bringing businesses in we assume zero synergies to justify the transactions and I think it always takes longer and it’s harder than you think to cross sell. But I do think there are reasonably good opportunities for us to do that I have 700 Tier 1, Tier 2, Tier 3 institutional account many of those accounts somewhere in their organization are executing trades in our sweet spot, which is international securities, FX futures, and our job over the next year or two to make sure we mine that opportunity.
Jeremy Hellman: Great, thanks. I think would you think say it’s fair to characterize that as the larger Tier 1 institutions are going to be more likely to have multi asset class products under their umbrella while the smaller entities maybe more single asset class and so your opportunity is going to be at that larger Tier 1 end?
Sean O’Connor: We never really do very well with the very large Tier 1 customers in any of our products. We have those customers and we’ve certain very well-known name customers that deal with us. But really our sweet spot is sort of the mid-size customer. So on the institutional side I suspect we may be better suited to the mid-size institutional investor who maybe has a couple different fund strategies under their umbrella and maybe they have an international fund or component for international securities and that’s where we will kind of get in there. So we obviously will try with the very large guys. But they tend to be so well covered by the Tier 1 banks that’s really hard for us to get in there.
Jeremy Hellman: Okay, thanks for that perspective.
Sean O’Connor: Okay. Well, I don’t see any more questions on the screen. So we’d like to thank everyone for their participation. And we will be talking to you in about three months. Thank you.
Operator: Ladies and gentlemen this concludes today’s conference. Thank you for you participation. And have a wonderful day.